Operator: Ladies and gentlemen, welcome to the Titan International Inc Fourth Quarter 2016 Earnings Conference Call. During this session, all lines will be muted until the question-and-answer portion of the call. [Operator Instructions] Any statements made in this course of the conference call that state the company’s or management’s intentions, hopes, beliefs, expectations, or predictions for the future are considered forward-looking statements. Please note that the Safe Harbor statements contained in the company’s latest Form 10-K and Form 10-Q filed with the Securities and Exchange Commission extend to this conference call and any forward-looking statements involve risk and uncertainties as detailed therein. Please note that this call is being recorded. At this time, I would like to introduce Titan Chairman, Maurice Taylor. Please go ahead.
Maurice Taylor: Thank you, dear. Good morning, everyone. Of course, this is -- you should have the paper work if you are on a call. This is our year end and 2016 which was an interesting year. Number one, we started the year at everybody was worried about our liquidity. And of course that triggered a lot of the events through the year, which is spelled out in the press release you have. The other situation is when the -- and I want to talk about our market before I turn this over to Paul. And in fact I am talking about Paul, it was a big year 2016, the end of the year, Paul took over as the President and CEO of Titan, which he can cover on his team and what they are doing. But I think it's very exciting what they have got planned and what they have been able to do in the last couple of years. The situation in the third -- I have to call it the end of the third quarter, I mentioned I thought we were pretty well scrapping and bouncing around the bottom. I think the results show that is true. I think Ag is bottom out, construction market is bottom down and the earthmover is bottom out. Last week, CONEXPO arrived which it arrives every four years in Las Vegas. I've been to probably all the way from CONEXPO that used to be up in Milwaukee, I believe, and then it went to Chicago before resting out in Vegas. I've never seen a more active, bigger, CONEXPO than what happened this past week. And the unique thing about last week never did I ever see all the contractors, people that they send, not just one person, two person, there was teams and excitement was really, really upbeat and Paul will go through on his take of it and what more of the action of what transpired. But going forward which is what everybody is interested in, I think it's going to come on in 2017 a little bit stronger than anybody has gone out stated and I am referring to our large OEs. I believe that the people I have talked to even in the farm industry, the farmers, they are excited, and they are excited because things have dropped down. They pick up the paper today that natural gas is a glut, well; think of the fertilizers they get from the processing of certain national gas. It's a different feeling than what you had for a long time. And we are excited about it. Since I moved from --and given up the CEO role, I am going to concentrate as a Chairman, I plan to continue to work on the LSW tires and wheels at our big farms, and the wheel business that we are put in Brazil and in Russia. Paul has a good team and anything and whatever he decides and I will -- I'll help on that. But with that number one, all of you I plan to come to couple of your conferences because I love being on the road. So with that I am going to turn it over to Paul. Go ahead, Paul.
Paul Reitz: Thanks, Morry. Good morning, everybody. I am going to start off by talking sports for a couple minutes here. Just think what took place in 2016 with the recent sport season that concluded. Yet the cups come back from 3:1 down deficit win their first world series since 1908. The Cavaliers came back from 3-1 down to bring a championship to the beleaguered city of Cleveland. And then of course most recently you had New England come back from 28-3 down late in the third quarter to make Tom Brady then winning to Super Bowl quarterback of all time. You may have not like these results of these games but one thing that we consistently heard from the players behind those comeback is that they kept their focus on the task immediately ahead of them and not their deficit they are looking at. The players realized that they must take things one step at a time in order to come back from near defeat. So let's tie these 2016 sporty events together with Titan. As we started our 2016 financial season, we were in year three of a massive cyclical downturn in our end markets. Our sales were down over 40% from our peak, our stock was at $3, and our bonds were at $1.63. Now I am not saying Titan won world championship in 2016 and I am just having some fun with the sports comparison but in all seriousness the Titan team has done a really good job of applying that same competitive mindset to keep our focus on moving forward one step at a time. This past year not once did I hear anyone from my team whining about the market conditions and the challenges that we are battling. We believed in what we are doing, the plan we had in place and we kept our focus on execution. So as we wrap our 2016 financial season for Titan, it's good to see our stock and bond showing nice rebounds to today's levels. So if you take a look back at 2016, our sales came in at $1.26 billion that compared to $1.4 billion in 2015 and at $1.9 billion in 2014. And even with that decline in sales our gross profit percentage is steadily increased to past three years. This means we've been consistently managing our way through the downturn and not relying on one year stunt to drive results. Along with these operational accomplishments we maintained roughly the same cash balance over the past four years. Again, all this is a testament to our team to keep our competitive focus on moving forward one step at a time while dealing with these challenging market conditions. So drilling down to some other accomplishments that took place this past year, I want to point an impressive feet that came from our Latin American team. Titan took over the top spot in Brazil for the combined OE and replacement market share. Let's not forget when we took over Titan Brazil in 2011 that business was 11 points behind the market leader. So that's really a strong accomplishment and a good story to see how far we come with that business in just five years to take over the top spot there. You also noticed in our 10-K filing that our material weakness that has hampered us for the past two years has been remediated. There are definitely were -- some celebratory drinks to celebrate this accomplishment. The finance team has really done a great job taking care of what needed to get done to remediate the material weakness. Our CFO, Jim Froisland said to me in the second week of the job that with his leadership and the existing team in place he will get rid of the MW and Jim and the finance team did exactly that. So our hats off to them for taking care what needed to get done and that's pretty significant accomplishment. Now as we look back into 2016, the one area that we need to and will improve upon is our SG&A. With the material weakness now behind us, we are going to put some additional focus into that. Jim and I have formed a committee comprised of group of our business unit leaders and we are just going to start taking a look at some of the profit leaks that are taking place in our SG&A area. We've seen our SG&A percentage creep up over two points the past few years as our cost reductions in that area just haven't kept pace with the sale decline. As I illustrated earlier with our gross margin percentages, we demonstrated over the multiyear downturn that we've done a really good job managing our operational cost. And again that's been pretty consistently evidenced in our gross margin. However, we really allowed too much of our SG&A to fall into the trap is being viewed as a fixed cost. And that needs to change. That is certainly true to some extent there were decline in sales, there are some fixed cost associated with our overhead but there are opportunities for us to attack not just the variable SG&A cost but take a hard look at some of the fixed SG&A cost. So again that's a pretty big project that we are going to put on. Jim and I play for this year and I think our team leaders as well realize that they have some opportunities to tackle some profit leaks in this area. As we look forward to 2017, I wanted to discuss a few areas that are often rolling to a good start. We've worked hard on our plan to past few years to get more efficient and reduced our cost and quality. This has enabled us to come into 2017 and position our products well in the marketplace and make Titan easier and more effective to do business with. In a nutshell, we introduced new program that really positioned our Goodyear and Titan brand of products at the right level compared to the respective competition. And also removes some of the variability across -- that exist across our various product platforms. We rolled this out January 1st; we are really excited about the early momentum that we generate in North America. And to ensure we don't slip backwards we've also developed systems and deployed resources to ensure we stay at top of our product position in overall product portfolio. It's incredibly important to us in North America, it's an areas that we significant opportunities for us. And again we really feel that's we started off this year very positive in that in North America with what we rolled out. This lead into our product development. As we've noted over the past few years, we continue to invest in our future via product development. And LSW is a cornerstone foundation of that. We've really seen some exciting things happen with LSW to start the year. The ground swell from our grassroots marketing efforts from the past two years is starting to take root. End users are now coming to us to learn more about LSW instead of us really having to push it to them. Our product manager, our Ag product manager I should say has been in a couple trade shows already in 2017. And he is typically a pretty calm guy but I got to tell you he has been jumping out of his shoes with excitement this year as our boost have been virtually in end less parade of potential customers that have heard about LSW, know about LSW and simply want to learn more. In fact, he has been so excited he takes pictures now to our shows and sends them around to our entire global team so they can see exactly what's going on with the groundswell of LSW here. My marketing VP is obviously at those shows as well. She can be naturally more excited than our ag manager but she has seen the same LSW buzz, the National Farm Show from East Coast to the West Coast the show down California, the Morry mentioned CONEXPO, so really the entire marketing team, the product management team just in absolute flood of energy that they are able to bring back from these shows and we definitely feel like this is spreading very well at the grassroots levels, at the end user and off to a great start with that in 2017. I got chance to see it first hand myself at not just CONEXPO but when somebody shows that some recent grass root local events that we do in conjunction with local tire dealers to educate farmers about tires, Titan and LSW. And I have been really impressed at these events to see how many hands go up when people are asked if they are already using LSW. And that if they would be considering using in the future. So without a doubt the interest level and excitement around LSW is spreading around and as Morry mentioned CONEXPO for the last week was another good example of -- n that just the excitement that exist within the industry but I think the excitement exist specifically with some of the things that we are doing here at Titan. I do want to touch briefly on our North American tire union situation. The three tire plant contracts were supposed to expire in November 16. The company and the union agree to extend the agreements to January of 2017. The contracts have now expired. As a result, the company and the union are currently working without a contract and we are also working without interruption to our normal ongoing operations. While the contract have expired, federal law does require us to file the terms of expired contract until new agreement are in place and impasse is reached in our negotiations. Morry already touched on this but I do want to talk just for a minute about ITM. A lot has changed with our balance sheet and the market since we put this business out to market. The reality is it's a good asset. We don't need to sell, especially for prices isn't up to our expectations of its value, the bankers, the Goldman Sachs and Titan special committee did a really good job with the process. And ultimately we decided it's not in the best interest of Titan and its shareholders to sell the business at this time. I spent some time last week with the leader of our ITM business unit and I definitely feel good about what's going at the business and where it's going. The trend line is that ITM look good as they expand their business into additional geographies and grow their replacement business. So again we feel good about the asset we have and the value that ITM brings to Titan and its shareholders. And so we concluded the process and have retained ITM as part of Titan. A lot has taken place in 2016 to move Titan forward and we feel good about where we stand today moving into 2017. So I'd now like to turn the call over to Jim. 
Jim Froisland: Thanks, Paul. I'll begin with the reminder that the audited results we are about to review were presented in our news release issued this morning and will be discussed in more detail in our Form 10-K which was filed this morning. Let's start with the income statement. Net sales for the fourth quarter of fiscal 2016 came in at just over $307 million. This was down less than 1% or $0.5 million from a year ago and a smallest decline we've seen this year. Sequentially net sales were up $1 million from third quarter fiscal 2016. Here is what that meant in terms of segments. Agriculture and consumer net sales were higher but offset by lower earthmoving and construction. Increases in net sales were largely driven by favorable prices and currency. Net sales volume was down slightly in all segments with the biggest decline occurring in agriculture which was down less than 4%. Turning to geographies. North American business continues to see lower net sales volumes across all segments. The good news is that in spite of lower net sales in North America, we were able to improve gross margin while other geographies showed improvements in both net sales and gross profit. Moving on to gross profit and margin. Gross profit for the fourth quarter was $32.5 million, up $14.7 million over the prior year. That's an 83% increase over the prior year on similar net sales. Overall, our gross margin performance was up 480 basis points from the prior year to 10.6%. This is a great accomplishment by our team to have accomplished that level of margin improvement in the fourth quarter which has historically been our toughest quarter. We've talked about our improvements in margin for several quarters and are proud what we've accomplished our one Titan team operating model, coupled with the our business improvement framework have been instrumental in improving our gross profit and margin despite the downturns in the market we operate in and our reductions in net sales. Now for a closer look at our segments. Our agriculture segments, net sales for the fourth quarter were $145.2 million, up $2.6 million or nearly 2% over prior year comparable. The North American region continues to slow, declines in high horsepower products continued and overall net sales were down 16%, which again was primarily driven by volume. The bright spot for this segment was in Latin America as Paul mentioned where net sales rebounded in the fourth quarter over the prior year was 112% increase. Our market share in this region continues to increase and puts us in a nice profitable growth position when the economy and market picks up. Triple digit increases in agriculture net sales were realized in Latin America with double digit increases in Russia and Australia. Our agriculture segment gross margin improved 548 basis points in the fourth quarter, a 12.6% with most geography regions --geographical regions showing improvement over the same period a year ago. North America improved 180 basis points in spite of the previously mentioned volume decline in net sales. Once again this demonstrates that the actions taken by our business improvement framework are paying dividend as we experienced the favorable financial impact of those actions. Moving on to the earthmoving and construction segment. This segment's net sales for the fourth quarter of 2016 were $122.6 million, a decrease of $6.8 million or 5% versus a year ago. While North America showed ongoing softness we continue to see improvement in our undercarriage mining and aftermarket business in our other regions such as Latin America, Russia and Australia. We mentioned this growth last quarter and it's nice to see the investments we've made continued to pay dividend each quarter. So much of my comments about agriculture segment, we experienced a 313 basis points improvement in gross margin within earthmoving and construction with most regions showing gains in the fourth quarter as compared to the prior year period. Now to our consumer segment. This segment's fourth quarter net sales were $39.4 million which was an improvement of $3.7 million, or 10% when compared to the prior year. Net sales were up across every region. Again, we were able to improve gross margin 741 basis points on increased net sales. Let's turn to operating expenses. Selling and general administrative and R&D expenses for the fourth quarter of 2016 were $39.5 million, up $5.8 million compared to the prior year period. Our strategy has been to invest in sales, marketing and R&D during the market downturn. This represents a way for us to come back the current market conditions and we continue to see the benefits of those investments. Also, the business performance and improvements late in 2016 over 2015 resulted in an incentive and earned incentive compensation expense for 2016 versus a reversed incentive compensation expense in the fourth quarter of 2015. This swing impacted SG&A by $1.1 million in the fourth quarter of 2016. Other increases were driven by legal fees incurred, concerning anti-dumping and countervailing duty cases. As you seen up on the fourth quarter operating statement just quickly royalty expenses of $2.2 million were down $0.1 million or 5%. Interest expense of $7.3 million was down $1 million or 12%. Foreign exchange gain of $1.1 million was up $0.2 million or 19%. Other income of $1.9 million was down 59%. This resulted in a loss before taxes of $13.3 million versus $20.8 million loss in fourth quarter of fiscal year 2015. EPS came in at a loss of $0.26 versus a $1.07 loss in the fourth quarter of fiscal 2015. Now I'd like to move to our financial condition and highlight a few key balance sheet liquidity and capital items. Our cash balance and short term certificate of deposit of $198 million as of December 31, 2016 remain flat with the prior year balance. We ended the quarter with inventory and accounts receivable balance is relatively the same as the prior year. Day sales and inventory or DSI was 86 days as of December 31, 2016 compared to 77 days of December 31, 2015. The increase was to support forecasted higher sales in the first quarter of 2017. Accounts receivable day sales outstanding or DSO of 53 days remaining flat with the prior year. Days payable outstanding or DPO increased 11 days to 52 days. So you can see we continue to be diligent in managing our working capital liquidity and cash flow during this tough market conditions. This has been and will continue to be a key focus for management. Now for a quick comment concerning our debt. As we previously announced, holders of the substantial --the majority of substantial majority convertible bonds which matured in January 2017 chose to convert from debt to Titan shares. This conversion represented more than $58 million or 98% of the total convertible debt outstanding. This shift from debt to equity will further strengthen our balance sheet as well as reduce future interest cost. In February of 2017, we entered into a new $75 million of revolving credit facility similar to the previous facility. This new credit facility is collateralized by accounts receivable and inventories of certain Titan domestic subsidiaries. This new credit facility extends the maturity date from the previous maturity of December, 2017 to the earlier five years which is February 2022 or six months prior to maturity of the company's 6.875% senior secured notes due in October, 2020. The new facility is $75 million smaller than the previous facility and better matches the current size of our collateral and will reduce annual cost thereof. Capital expenditures for the year were $42 million, down $6.5 million or 13% from the prior period. Capital expenditures are forecasted to be approximate $35 million for 2017. Cash payments or interest in 2017 are forecasted to be approximately $30 million. We believe we have sufficient funds for our operational and working capital means for the foreseeable future. Last but not least, Paul and I are pleased to report that the significant investment in people, process and systems to remediate the material weakness relating to Titan's internal controls of our financial reporting had paid off and we have remediated and have been remediated by the Titan one team. Our special thanks to all that contributed to this successful result. So in summary, I'd like to say that there are several positive takeaways concerning the financial results for the fourth quarter of 2016 end year. Despite the market challenges we faced, we've seen some stabilization in our agriculture segment, improved margin performance, diligent liquidity management and remediation of the material weakness to name a few. The Titan one team remains strongly focused and committed to managing those areas we each control. I'll be glad to answer any questions you may have on these or other financial matters. In the meantime I'd like to turn the call back to operator for questions. Thank you. 
Operator: [Operator Instructions] Our first question comes from Larry DeMaria of William Blair. Please go ahead.
Larry DeMaria: Hi. Good morning. Hey, guys. It sounds like obviously you've seen some stabilization. Can you kind of discuss the overall segment outlook for 2017? Do you expect improving sales and operating margins in all businesses in 2017? And maybe just discuss your order of magnitude, if you can.
Paul Reitz: Yes. I am not sure Larry at this moment we can talk about that level in granularity. We did not give out forward looking guidance at the beginning of 2017 and so not to sidestep your question it's certainly a good question but because we've not issue formal guidance and there has not been any comment in our filed releases at this point we'll have to talk in generalities but I think you are out of CONEXPO and you certainly feel that the momentum is turning and a good foot going forward to 2017 from the construction side which fits well with our obviously our ITM business is doing well in that segment. We certainly see some opportunities with our wheel business in the construction segment coming out of last week. We reorganized our team to be more focused on taking advantage of those opportunities. I would say one of our weaker areas has been construction wheels and we reorganized our team and see some positive things coming from that. Going back into last year with the mine expo, you certainly have seen some trend lines that are start to look pretty good in mining. And again that fits good with our replacement business in the ITM. And then talking about our core business with Ag, we see the replacement side of the Ag business in North America off to a good start as Jim mentioned in his comments, the Ag business in South America finished the year strong and is rolling into 2017 in good shape. Russia, we finished 2016 with the number one position in Russia with over 50% of that market. When I say Russia referencing the entire CIS region. So we see that business again continuing to perform on those same lines and improve on what they done in 2016. And then Europe is Europe Larry, it's kind of stuck where it's at and moving in a direction that's stable but not anything significant upwards or downwards side anything for us. Europe, our opportunities are organic in what we can do with the Goodyear brand. And so we have a lot going on in Russia to expand our Goodyear product platform and its production capabilities looking at producing some product down in Brazil, have some other projects and the works to be expand our Goodyear Europe presence. So I think for us the opportunities in Europe are exciting to see with what we can do organically. So as we look around the world, I know it's a high level look, Larry, but I think we do see some positive things going on in just about other areas. 
Larry DeMaria: Thanks, Paul. Do you fully expect to be able to penetrate the continental European market with the Russian -- with the GT brand coming from Russia, is that right?
Paul Reitz: We got it come out from a different ways. We'll get more into that later this year as we get our portfolio build up but there will be a couple of different ways that we'll have to attack the market there with Russia being a part of it we've equipment that's already there, getting installed as we speak and has some of it's already installed, more of it's continued to be installed year this quarter this month, next couple of months. So with what Russia can do, they are already combined with what we are adding with the additional equipment. We certainly feel good about not only our CIS position which I mentioned earlier is over 50% of the market, what we can do with exporting from Russia into Europe. We feel like our cost to production there is very favorable. And again the improvements we are making with the equipment and the quality will get us to the point where Russia would be a big part of our European strategy. And there is other pieces too that we'll talk about late in years as we get those finalized. 
Maurice Taylor : If I could throw little more light to that, Larry, is that you have seen in Europe they have a total different problem, farmers too than they are have in the US or lot of South America. They use our tractors mainly as a pickup so if you have noticed you see all these what they calling different names so it's central inflation system, you see on the trucks over there too where they try to keep the air pressure way up. When you go into combines and tractors out in the field, you need lower air so this has been thing they have fact and that's 20 years ago this was one developed for the Desert storm for the US military came out of France. Well, you turned around and use now LSW you are down to anywhere from 12 to 15 psi. So that will go through your fields any place in Europe and because the sidewall doesn't bulge down, you can get on the road and you want to do 65-70k fine. So we are going to attack you with LSW and selling over there is a situation of -- you actually sell to a group of individual farmers as how you make your end roads. And as Paul mentioned, that's what we are going to do. We have everything there actually bringing to little more advanced technology and save the farmer a ton of money. 
Larry DeMaria: Thank you, Morry. If I could ask one other question, ITM, obviously you are going to keep it now, but you mentioned in the release that there could be some other opportunities. So could you explain think about give us some thoughts about other opportunities and the required investment you will need to make in ITM should you keep it? And then, should we also expect potential divestitures from TTRC in Brownsville? Are those still on the table? Thank you.
Maurice Taylor : Well, I think speaking for the Board, yes; the other two are on the table. We have bankers for the situation at TTRC up in Canada. The thing that's happen is the problems of Ontario, notified all the tire manufactures that you own the tires even after you sell them, to dispose of them, the TTRC there is a lot of people on environmental end but what happens out there is it's in total sale system, you put the tires in and you get the oil and you get carbon black and you get the steel. So it's a total pollution free system allows the others through the pyrolysis they are out their burning a gas that comes off and so this system is a little bit different. And we expect that it's going to be added to the bottom line of Titan as it goes on but to expand it and take a tremendous amount of capital. And we have a number of people who will be interested. We want a process of getting at least six months of operations under it before we look at disposing of it. Brownsville, they did an appraisal came higher than what we were thinking it would be and of course until our President gets the situation straightened out, Brownsville is super hot market and it's a cash generator for Titan. So it's sitting there generating a little bit of cash so I think the Board right now is and I think Paul will back it up that it's something do you actually expand -- we are quite a bit of property down there. And we've got a big power source right now on the property so there are a lot of things outside of the wheels and tires that they've got to look at that will generate cash for the company. Reference ITM, ITM has been a very strong OE producer. They have great probably with the best engineering; it's all German engineered so the aftermarket we are just kind of scrapping the surface. So we have three items that we always knew would generate about $250 million in ready cash and that's kind of like been going up so there is no hurry, I don't believe as Paul mentioned on any of it at this point, with your bottomed out and what we are looking for, I think it's, it's all good. You are at the show, you've seen what happened at the show, and I have never seen as much enthusiasm in any show as I have seen out in CONEXPO. And we are seeing that right now in the order deck. That's -- unless you want to add to it Paul. 
Paul Reitz: Yes. Larry, as we referred ITM and the opportunities, the opportunities are already in process. We are going to have invested significantly in order to continue to exploit those opportunities. I mean part of it is driven by the market; part of it is driven by what we've done with the business over the past couple of years. And so kind of circling back to your other question, your first question as well, our CapEx for 2017 is forecasted to be relatively in line with where we were in 2016. So I talked about some opportunities that we are exploring in Europe with what we are doing in Russia and other possible avenues. That's already baked into that number. So I don't see a significant change in our CapEx for 2017. We did some investment that will make in the Brazilian wheel plant that we've already talked about before and those will be separately disclosed but again those would of relatively small number in the big picture. So I don't see our CapEx changing that much. So these opportunities are really already lane out there in front of us whether we talked about ITM, Europe or Brazil and so again I know we didn't give guidance for 2017 but I do want to comment that we don't see a significant change in our CapEx for the year.
Operator: Our next question comes from Joe Mondillo of Sidoti & Company. Please go ahead.
Joe Mondillo: Hi, guys. Good morning. So just wondering if you could comment on pricing both in the market and what you are seeing in -- how pricing is trending relative to sort of where raw material cost are. And then also if you could comment on your internal pricing and new system that you are implementing and how that's sort of trending and going so far this year and how that's benefiting gross margin?
Paul Reitz: Sure. I mean the market right now is dealing with lot of changes with raw material cost. That is something that we put a lot of time monitoring not just on the supply chain in our input cost perspective but also how the market responds to it. At this point just about everybody, if not everybody has announced some sort of price increase. Ours are rolling into a fact as well. We did do anything that necessarily across the board, there was some strategy involved with that so kind of the second part of your question. We rolled out some strategic moves to start the year and how we positioned our products that were very well received. We've taken out a significant amount of variability that existed across our product portfolio, really came out to the market strong start of the year, so have seen a nice uptick in orders. And so as went through this price increase but again kind of caught everybody off guard I think what's going with raw materials is somewhat driven by speculative Chinese movements that aren't necessarily supply demand driven but needless to say everybody have to react to it because the cost, the raw material cost changes have been so significant so we made sure that as we did that we didn't undo what we've already done before January 1 with our strategic move. And so we apply some strategy, we waited to as long as we could to see some of the competitors moves were and to answer your question there is a lot of moving pieces as we see here starting in March 1st going into April across really all of our products on the pricing side. The more so on the tire side but definitely on the steel, the wheel and undercarriage side you are experiencing some input changes there as well. OEM business do have contracts so to answer your question on the impact on margins, there are some contracts that are you change it in every quarter, some are changing every six months depending on the fluctuation in index prices. So there are some opportunities out there where you are going to just stay naturally perfectly aligned with the changes in your raw materials and there is going to be in some cases we have 30 to 60 day lag and when you can push through those price changes. So lot of moving pieces, not to repeat that same saying again but it's something we put a lot of effort into both strategically and then in dealing with the raw material changes here recently. And we'll continue to stay at top of it. I made a comment in my announcements earlier in the call that we have really deployed a lot of resources both from a systematic and human capital perspective to make sure that we stay up there in front of the game when it comes to this so. 
Joe Mondillo: All right. And in regard to the effect that you are seeing with raw material prices, have we seen the worst within your results yet in terms of the near term or are you expecting first quarter just given how rubber and steel has moved -- are we expecting in the near term to see a little bit weaker effects from raw material cost? 
Paul Reitz: You do have some situations where you have some lags and been able to push those through. Certainly we move as quickly as we can in line with what the market is doing and then obviously what our costs are doing but there are some situations where do you have a lag or timing difference when you can necessarily make those price changes. And when you get some cost impact that hit you. So we are still looking at it closely. I would say the first part of the year not much of an impact but there is a little bit of lag as you kind of get caught year the tail end of this quarter so I think for the most part our industry; our business is reacted to the changes in the raw materials. But there is some strategy involved with how you make those changes. So with the OEM we do have some lag impact that will hit us in part of this quarter. 
Joe Mondillo: Okay. And then in regard to SG&A, I know you commented on that you are going to take a more of focus this year on SG&A. But your SG&A outpaced revenue in the fourth quarter. What exactly drove that? I know you are focusing on the LSW tires and trying to get out there in terms of marketing and such. Was that the driver of that? And, if so, with the focus of trying to transition farmers to the LSW tire and focusing on marketing and such, do you expecting the near term the SG&A regardless of these commenting that you are going to focus on it, do you expect SG&A to sort of continue to outpace revenue at least in the next couple quarters? 
Paul Reitz: I'll let Jim make a couple comments. And I'll just open by saying that what we experienced in the Q4 was driven some legal fees associated with the countervailing and anti-dumping cases, little bit of incentive changes that hit us in Q4. Jim can talk a little bit further about that but my comments we are getting to some structural things that we see we can attack differently in 2017. We've really done a good job focusing on the operational side at the plant level and there is some different things that we are going to take a look at from the SG&A side to forming some different views on ways we can structure the business and look at things to really those cost out of there so as we move forward into 2017 there is going to be an immediate impact to what I just said, it's going to take some time but definitely I think as we move into the tail half of the year we'll see more of an impact from that. We do have some legal fees that our legal is running higher than it has been traditionally. So that will naturally reverse itself over time but I think when you look at Q4, those are the two primary areas. Jim, is there any -- you want to add on that? 
Jim Froisland: Yes. I'd just say that as you mentioned the incentive and the legal were sort of one time that they should incentive is incentive but legal I would see that not being as much as it was before. The other thing is just the whole idea I call them profit leaks but I am in royal cost managers so we are taken the culture as to look at all expenses which we do, that's really everyday business but then in the long term I'd say that we are really taken a hard look at our systems and talk about information technology systems or operating systems. So we've set up IT steering committee, so we've set up IT steering committee so we are taken a bit hard look at that. And those systems will -- I have a nice ROI or else we wouldn't do it. So that's more of a long term thing that will be carried out through 2017. 
Maurice Taylor : Okay. I think it referenced when you are talking about the SG&A, you had the lawyer fees, it was substantial and I think both Jim and Paul and their group, a lot of it was driven into making sure that the material weakness it was taken off -- taking care off. All the other as items that we had, there were a lot of lawyers involved and that's hard thing at the point until you get the bill. And I think as Jim mentioned, it's one time thing and you can't very well fire on when you are half way through the system until you get their bill. But anyhow looking at it, it's something I don't think it's going to be repeated. So it's pretty well gone. The other thing that it just give you a flavor if President Trump puts his tariffs that he says he is going to, if you were to put a 25% to 30% tariff, with the capacity that Titan has in their tire facilities and even in the wheel side, you probably look at over a 1,000 employees we have to go hire because that makes a big differential and I think it's going to happen and when, that's a big magical question. But as time goes I don't think the US is going to be a dumping ground for manufacture products. I think they will get that solved by the middle of this year. If you want to put a big boost into this economy. And that just my take on it. And there is a lot of other manufactures the same way. So wait and see.
Joe Mondillo: All right. Great. Just a lastly one could quantify the legal expenses in the fourth quarter and then two, regarding the balance sheet and sort of managing risk, where are you comfortable on a leverage standpoint and how do you think about being -- we were eight years from seeing a recession, how do you think about sort of balancing that risk and maybe not taking the opportunity to selling some of these assets and just giving some more breathing room in the near term. 
Paul Reitz : As far as breathing room in the near term I think we've maintained a same cash balance now for three years. If you look at our cash balance, it says a $150 million roughly in cash but we move $50 million into investment. So we are right around that same $200 million level that we've been at for the past three years. So I don't think we are facing any near term issues. We had the converts as Jim mentioned that converted in January. We've been through the list of assets that we have that certainly could be monetized. Again ITM is an attractive asset. We have the Brownsville asset, we have TTRC, and so I don't think there are any short term issues. As far as the leverage ratio, we are comfortable at. I think at this point when you look at the ability we have to monetize those assets, you look at our balance sheet, you look at our cash position, you look at where we are in multiyear downturn, I don't think we have a specific leverage target we are looking at. I mean our business has been cyclical and fluctuating quite significantly over the past few years. So I think you can look at the fact that we've managed it very well through that downturn. And I think at this point you look at things moving upwards versus moving -- the risk of the moving downward. So if anything we may have to deploy a little bit of capital into working capital to get our inventory levels in place to adjust to the increased level of sales. But that's about the only near term thing I'd put on the radar map. 
Maurice Taylor : Well, the follow up on that, that $50 million is a CD so basically as Paul said $200 million and if you turn around and decided to exit the track business and the other two assets, and add that to your cash, you wipe out your bond debt and you are -- you still got $50 million in cash so the liquidity is a fake bogeyman running around in my opinion. 
Operator: Our next question comes from Joe Gomes of William Smith. Please go ahead.
Joe Gomes: Good morning, guys. Just wondering, maybe you can provide a little more detail on the LSW. We've talked a lot about that and what it could mean to the company. I was wondering for 2016, where did we end up, what kind of level of sales or percentage of the overall revenue was to LSW? And what kind of growth do you think you can see here year over year in 2017?
Paul Reitz: Well, we haven't put those specific numbers out there into the market. But I will say our gross margin dollars for 2016 were up over 75%, our sales continue to grow double digits. We -- in our internal forecast we certainly believe those trends will continue. It's not a material level that we disclosed that in any of our releases or financials and at this point I don't want to disclose it because it's something the competition doesn't need to know. I think we have enough proof in 2017 from these shows that I mentioned in previously what is really change, Joe, is that when we go to the shows or any type of event, the ground swell of people that come up to us and they already know about LSW, they've heard about its benefits and they want us to educate them further on it versus trying to go out to people and pull them and say, hey, we want to tell you about this product we have. There has been a significant shift in so far this year and end of last year that definitely we believe translates into sales. And I think we are continuing to get LSW growth that we believe is meeting our expectations and obviously as the market get better and with our end users that's only going to help. So I feel really good about where we at as far as the message are out there. And as there is an improvement in the market, it's something that we are seeing a lot of people look to as not just a benefit but its competitive advantage. I mean clearly commodity prices haven't rebounded to a level where there is a lot of excess cash flying around. They managed to input cost well for them in their balance sheet, but if they can get a competitive advantage over others then we are seeing the farmers realize that this is a way they can do that. And we are going to keep pushing that. We've invested in it; we are going to continue to invest in it. We feel that we have the right sales team, the marketing team; our product development is just got to continue to push new products out there. And we certainly are seeing the benefits of that. So I don't think at this point we are going to disclose anything further that gets into the financial side of it. But I think I highly recommend you that you attend a show and stop by the Titan booth and you can see first hand yourself what's going on and take a few pictures back with you. 
Maurice Taylor : The follow up on that, we last November Paul and I went and visited the farmer who happened to be a equipment dealer which we can't put a press release out, since then in Iowa, we are going to have a big situation a spring of a planning where the number of acres that could be planted in corn, the number of acres that could be planted in soybean is large enough so that when they harvesting that out there, they are going to find that they are going to get at least five bushel per acre more of corn and probably at least seven bushel more of soybean that they wouldn't get without the LSW tires. We are also going to do that in Illinois. So there be up in Canada, its different crops but we are scheduling to do the same situation up there. And once that takes place you are at a situation now where whether a farmer is running duals, it makes no difference whether they are our brands or somebody else's brand; he is going to want to go super sales. How? Just added crop he gets will pay for it. It's not going to be a situation where you got a run just now it's all gone they want to see it. Once they see it, we are off to the races big time. 
Operator: Our next question comes from Aaron Steele of Feltl and Co. Please go ahead.
Aaron Steele: Hi, guys. Good morning. Just wondering if you could provide some comments on the aftermarket versus OE markets in North America, how that is setting up for 2017, and then given that the OE demand has kind of cleaned up the inventory there?
Paul Reitz: Yes. Definitely the aftermarket business in North America is off to a really good start in 2017. Part of it is just the natural kind of seasonal market as we have seen fewer OEM equipment reached the market. You've seen the replacement obviously start to take for hold from there but for us I think personally we've done some good moves also that have helped boost our aftermarket in North America beyond what the natural market tendencies would be but in overall definitely aftermarket is start to bounce back. The OEM, Morry has talked about it not just in this call but in prior calls that we felt like it was bouncing around the bottom and start to pushes way off from there, I think there is part that OEM market over the last couple of years have been good when you look at the small, mid sized equipment and there has been the large horsepower that is definitely falling off most significantly over the last few years. And so I think you see some inventory trends when you talk to dealers, when you see the dealers' inventory levels that are starting to move in a positive direction. So to bifurcate as you asked, I would say the aftermarket is already off and running and in the OEM they are starting to looking better and more favorable than they have been that's for sure. 
Aaron Steele: All right. Thanks. And then I wonder if you could comment on the orderbook year- over-year on the Ag side, and then how you view the earthmoving and construction business going forward in 2017. You saw the decline in the fourth quarter, so I was just wondering if that trend might continue.
Paul Reitz: I mean the orderbook is off to a good start. We are up over the 2016 level; again there are some strategic moves that we've done to help propel that. Our plants are running at a pretty healthy level, clearly we are pushing more production out this year than we have been in last year. So order books are good and looking to continue to get better. That's on the farm side, on earthmoving is as you asked, earthmoving, we had some products that we are behind on and we have some products that again kind of looking at plant capacity level we need to push more product out to door so I think the opportunity exist in both sides of the business whether you are talking OTR or farm and on the OTR side we are little bit more constrained on output than in farm. And so that's something we are trying to correct here as we move into 2017. As I mentioned earlier in a call, I think on the OTR wheel side is where we got some opportunities, we are currently going through the process and consolidating our Saltville facility. So that will take us a little bit of time to move around some things there but at the same time it creates a lot of opportunities for us. And so we are not just simply moving things around and leaving status quo, we certainly believe there is a lot of opportunities that we can exploit on the OTR wheel side. And with that when you start to selling more wheels, you also start to selling more tires. So we look forward to what they can do for the rest of 2017 on the OTR side of our business. And that's in North America but that also starts to trend set itself around the world as well as we make those improvements here in North America. We got a hit a little bit in Europe to answer your question on earthmoving. A little bit of change in Europe where we saw some of that softness and weakness but our European business unit leader is out at the show last week and there is some opportunities that look like they are coming back into play for 2017. But that numbers you are referencing primarily were driven by Europe. 
Aaron Steele: Okay. Good to know. And then just wondering, maybe one more here, how the setup in Russia has progressed in the quarter. You were kind of looking at shipping the Goodyear tires I think in this quarter. Maybe that's pushed out a little bit. Do you have any update on the timing I guess that we might start to see that and then updates on the LSW tires in that plant as well?
Paul Reitz: Well, I mean the equipment is there. We are working on getting it installed. I would say, I believe in some of other comments we talked about that being a second half of this year than versus of first half of this year. I don't think we are falling off from our original timetable. I mean the equipment is there, it is getting set out, you got to go through your trials and get things going but we've taken the Goodyear molds that we had purchased and we are getting those positions in the right location and I think we'll have that business whether it is in Russia or other locations, we'll have that going in the second half of this year. So it's coming along. There really hasn't been -- again I didn't expect anything to be shipping the first quarter this year. So I don't think we are missing any internal timetable that we have established. 
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Taylor for any closing remarks. 
Maurice Taylor : Just have a great day everybody. It's finally starting to percolate. So thank you. Have a great one. Bye, bye. 